Operator: Good day and welcome to the Synaptics third quarter fiscal 2020 conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to Jason Tsai. Please go ahead.
Jason Tsai: Thank you. Good afternoon and thanks for joining us today on Synaptics' third quarter fiscal 2020 conference call. My name is Jason Tsai and I am the Head of Investor Relations. With me on today's call are Michael Hurlston, our President and CEO and Dean Butler, our CFO. This call is also being broadcast live over the web and can be accessed from our Investor Relations section of the company's website at synaptics.com. In addition to a supplemental slide presentation, we have also posted a copy of these prepared remarks on our Investor Relations website. The supplementary slides have also been furnished as an exhibit to our current report on Form 8-K filed with the SEC earlier today and add additional color on our financial results. In addition to the company's GAAP results, management will also provide supplementary results on a non-GAAP basis, which excludes share-based compensation, acquisition-related costs and certain other non-cash or recurring or non-recurring items. Please refer to the press release issued after market close today for a detailed reconciliation of GAAP and non-GAAP results. Additionally, we would like to remind you that during the course of this conference call, Synaptics will make forward-looking statements. Forward-looking statements give our current expectations and projections relating to our financial conditions, results of operations, plans, objectives, future performance and business, including our expectations regarding the potential impacts on our business of the COVID-19 pandemic. Although Synaptics believes our estimates and assumptions to be reasonable, they are subject to a number of risks and uncertainties beyond our control and may prove to be inaccurate. Synaptics cautions that actual results may differ materially from any future performance suggested in the company's forward-looking statements. We refer you to the company's current and periodic reports filed with the SEC, including the Synaptics Form 10-K for fiscal year ended June 29, 2019, for important risk factors that could cause actual results to differ materially from those contained in any forward-looking statements. Synaptics expressly disclaims any obligation to update this forward-looking information. Now before we get started, I would like to remind you that we are still planning on hosting our Analyst Day on June 9 and we look forward to discussing more details about our long term strategy and targets with you at that time. And we will be sending out more details shortly. I will now turn the call over to Michael
Michael Hurlston: Thanks Jason. I would like to welcome everyone to today's call. I am pleased to be speaking with all of you again today and report a solid quarter despite the ongoing global uncertainty of COVID-19. During much of the March quarter, the supply chain in China was largely at a standstill due to the quarantine. As the pandemic spread throughout the globe in subsequent weeks, we have seen different impacts to our product portfolio. While our PC related businesses are benefiting from the increased number of people working from home, we are seeing weakness in part of our IoT business, as discretionary spending for consumer electronics and automotive declined meaningfully. Our mobile business was in line with our expectations during the March quarter. Despite these challenges, our third quarter revenue was largely in line with the low-end of our expectations while our continuing to focus on higher value added solutions and higher margin products drove stronger gross margins and better than expected profitability for the company. I am most also pleased we were able to close the divestiture of our mobile LCD TDDI business last month. We now have a much stronger P&L and balance sheet which should enable us to further improve our long term profitability while allowing us to invest in more differentiated products further increasing gross margins. Dean will provide more details on our financial performance later in the call. Before I provide an update to our business, I would like to share with you my thoughts on how the global pandemic is affecting us and what we are getting to address those challenges. First off, the health and safety of our employees is our top priority and we continue to take steps and implement measures to safeguard them. I am extremely pleased by their focus and execution in these uncertain times and thank them for their dedication. As I said earlier, from a business standpoint, we have seen some areas that are faring better than others in the short term and we are seeing strong continued engagement with our customers across the globe. We have been able to adapt and continue to deliver on our commitments to our customers and ensuring that we execute on our various roadmaps to effectively managing our supply chain. We see the supply chain normalizing and face minimal disruptions at this point. We have put a team in place to look at contingency plans in the event the global pandemic and global economic conditions decline further and consider how we are positioned to deal with that. Our intention is to continue to invest and stay engaged with our customers through all of this and as conditions return to normal, our customer engagements, increasing pipeline of new products and design wins will enable our growth long term. Now let me update you on our business. In the mobile market, our customers have launched several highly anticipated handsets in the past couple of months with our display drivers as well as with our on-cell flexible OLED touch controllers, including the Huawei P40 Pro and Pro Plus phones. We are introducing several new single-chip touch solutions that integrate a broad sweep of high-end capabilities and differentiation for all on-cell flexible OLED displays. This includes delivering the fastest touch report rates in the industry as well as integrating Face Detect and Side Touch features to enable infinity displays and support for active pens. As production and availability of on-cell flexible OLED panels continues to grow, our design momentum is accelerating and we are confident in maintaining our leadership position. Assuming the current schedules hold, our flexible OLED touch solutions should be designed into at least 10 more flagship to mid-range phones by the end of this calendar year. Separately, our large handset customer launched their highly anticipated, low-end LCD smartphone last month using our DDIC and it has been well received in the market. In IoT, following the successful launch of our versatile VS600 Smart Edge AI family of SoCs, we are seeing strong customer traction and design activity across multiple markets including service provider set-top boxes and retail OTT streaming products. Serving as the entertainment hub of smart homes, set-top boxes are getting smarter with the addition of our powerful purpose-built SoCs that uniquely combine a CPU, NPU and GPU on a single platform, integrating audio, video, computer vision and AI. Our customers are finding new ways to integrate our neural network accelerators in retail voice-enabled devices with premium sound bars and high-performance video including sound bars, cameras and smart displays. We have strong partnerships with our ecosystem partners to drive significant design win activity and wins with service providers across Europe, Asia and the Americas along with numerous consumer electronics companies. We have a solid roadmap in this space and you will see initial product rollouts over the course of the next 12 months. We are also excited about our new video interface products that have recently taped out. Those ICs support HDMI 2.1 and are optimized to drive up to 8K screens. Designs will be in commercial docks, travel docks and ultra-portable dongle accessories and these products are targeted to be at retail by the end of the year. In addition, our existing multi-stream video products continue to see strong demand with growing volumes due to the increase of work from home and we are seeing a rise in new design activity. The increase in work from home activity continues to benefit our PC-related businesses and momentum is accelerating. Enterprises are outfitting more of their employees with upgraded laptops. In addition, consumers are upgrading their laptops to enable video applications and students are also moving to remote learning. As a result, sales of our touchpads, fingerprint sensors and high-speed wired connectivity for docking stations are increasing sharply. While the strength in our PC-related businesses is lasting longer than we previously anticipated, we don't expect this strength to be sustainable. Overall, I am pleased by our execution and our team's continuing focus. Undoubtedly, there will still be uncertainty and volatility in the coming months due to COVID-19 but our focus remains on what we can control. We will continue to be there to support and engage with our customers and we will continue to invest in our portfolio of solutions that will drive operating results, even in an uncertain environment. Now let me turn the call over to Dean to review our third quarter financials and provide our outlook.
Dean Butler: Thanks Michael and good afternoon to everyone. I will start with a review of our financial results for our recently completed quarter then provide our current outlook for our fiscal Q4. Revenue for the third quarter of fiscal 2020 of $328 million was slightly below the low end of our previous guidance range, down 16% from the preceding quarter and down 2% from the same quarter last fiscal year. Our revenue was negatively impacted by customer production delays driven by supply chain constraints due to the global effort to slow the spread of COVID-19. During the quarter we had two customers above 10% of revenue, at 21% and 13%. For the March quarter, our GAAP gross margin was 41.3%, which includes $8.1 million of intangible asset amortization and $800,000 of share-based compensation costs. GAAP operating expenses in the March quarter were $116.6 million, which includes share-based compensation of $17.1 million, intangibles amortization of $2.9 million, restructuring expenses of $6.3 million and a retention program cost of $3.2 million. We accrued GAAP tax expense in the quarter of $10.2 million, bringing our year-to-date GAAP tax rate to 36.3%. GAAP net income for the quarter was $5 million or net income of $0.14 per diluted share. On a non-GAAP basis, our March quarter non-GAAP gross margin of 44.1% was 10 basis points above the high-end of our guidance range and primarily reflects ongoing cost savings initiatives. The March quarter non-GAAP operating expenses were below the low-end of our guidance range at $86.7 million and down $2.5 million from the preceding quarter, primarily reflecting the benefit of restructuring activities and operating expense savings during the work from home restrictions due to COVID-19. Our non-GAAP tax rate for the quarter and year-to-date period was 12%. Non-GAAP net income for the March quarter was $52.3 million or $1.49 per diluted share, an increase of 80% year-over-year as we continue to focus on improved bottomline results, as compared with $29 million or $0.83 per diluted share in the third quarter of fiscal 2019. Now turning to our balance sheet. We ended the quarter with approximately $472 million of cash on hand, an increase of $47 million from the prior quarter, primarily driven by cash flow from operations. We opportunistically repurchased 257,000 shares for $13.2 million and average price was $51.09, early in the market downturn before quickly changing to a cash conservation mode once it became obvious that COVID-19 impact was going to last much longer than initially thought. Receivables end of March were $238 million and DSOs were 65 days. Inventories were $96 million and inventory days were 47. Capital expenditures for the quarter were $3.5 million and depreciation was $6.6 million. Before I turn to our guidance, let me remind you of a couple of post-quarter-end transactions that will drive our ability to execute our long term plans to opportunistically invest and grow the business. On April 2, we drew down $100 million on our revolver, leaving an additional $100 million available to us. We believe it was prudent to put this cash on our balance sheet to ensure it will be available when needed and will provide greater flexibility for our operations in these uncertain times. On April 16, we closed the divestiture of our mobile LCD TDDI product line and received approximately $139 million from the buyer. Our adjusted cash balance that includes these two post-quarter events in addition to the $472 million cash balance at the end of the quarter is $711 million. This positions us well to capitalize on potential opportunities to acquire businesses or product lines that will fit into our longer term growth and gross margin strategies. Let me also highlight the historical impact on our P&L from the mobile TDDI divestiture that we referenced in our filing with the SEC on April 16. In the first half of fiscal 2020, this business generated sales of $131 million or an average of about $65 million per quarter. Excluding the effect from this divestiture, our revenue in the June quarter at the midpoint of our range is expected to be approximately flat sequentially, which is slightly better than typical seasonality. We will also see a meaningful improvement in gross margins and operating expenses in the June quarter as a result of this sale. It is also incorporated into our guidance today. In addition, taking into consideration the increasing uncertainty and the impact of COVID-19 that continues to have on end markets and consumer demand, we are broadening our revenue guidance range for the June quarter to $30 million, up from the $20 million range we provided in the past couple of quarters. Now let me provide our outlook for the fourth quarter. Based on our backlog entering the June quarter of approximately $240 million, subsequent bookings, customer forecasts, product sell-in and sell-through timing patterns as well as expected product mix, we anticipate our total revenue for the June quarter to be in the range of $260 million to $290 million. We expect the revenue mix from our Mobile, IoT and PC products to be 45%, 23% and 32%, respectively, reflecting continuing near term strength in our PC-related sales, inline mobile business and offsetting weakness in IoT. Now I will provide GAAP outlook for our June quarter and follow with non-GAAP outlook: We expect our GAAP gross margins to be in the range of 41.5% to 44%. We expect our GAAP operating expense to be in the range of $110 million to $116 million which includes charges for intangibles amortization, stock-based compensation and we also expect to accrue restructuring costs and retention related costs. We expect our GAAP tax rate for fiscal 2020 to be in the range of 20% to 25% for the full fiscal year. I will now provide non-GAAP outlook for our June quarter: We expect non-GAAP gross margins in the June quarter to be between 45% and 47% reflecting the positive impact of the divestiture of our low margin TDDI product line. We expect non-GAAP operating expenses in the June quarter to be in the range of $83 million to $86 million, also reflecting the positive impact from the divestiture of our TDDI product line. We anticipate that our non-GAAP tax rate for fiscal 2020 to continue to be in the range of 11% to 13%. Our non-GAAP net income per diluted share for the June quarter is anticipated to be in the range of $0.85 to $1.25 per share. This wraps up our prepared remarks. So I would like to now turn the call over to the operator to start the Q&A session. Operator?
Operator: [Operator Instructions]. Our first question comes from Rajvi Gill with Needham & Co.
Rajvi Gill: Yes. Thank you and congrats on the divestiture of TDDI, the successful divestiture of that business. If we look at the guidance, it implies IoT business is going to be down about 12% sequentially. My understanding, the mobile business, obviously. But that the IoT business, since a lot of it is consumer-focused, wondering if you could describe the impact of COVID on IoT? Does that hurt demand for consumer IoT products in the retail stores or inflation at the home? Any color there will be helpful.
Michael Hurlston: Yes. Rajvi, as you know, our IoT business is kind of a basket of different products and it's had various effects on various different things. But generally speaking, the negative impact has been on our in-home devices, whether those are speakers or some of the video devices we have seen some impact on. And I think that's largely due to consumer spending patterns. We have seen our customers push out orders. I don't know if that demand comes back until we see some return to normalcy. But that's been the real impact on the IoT business.
Dean Butler: The other thing I would maybe add, Rajvi, as you know, our IoT business includes an automotive business that we have reported there and no different from several others that sort of have automotive that's been challenging at this point.
Rajvi Gill: Thanks for that. And then just on the mobile business, if you add the approximately $65 million a quarter back to the mobile business, it would imply that the mobile business has been growing sequentially. I just wanted to get a sense of the traction in mobile going into the June quarter. What have you seen in the China handset market? What have you seen in the top customer in terms of design pipeline in the funnel? Any thoughts there would be helpful.
Michael Hurlston: Yes. I mean I think that you are characterizing the position of sort of the overall position well, Rajvi. In general, we kind of have an unusual situation which is that we picked up some nice design momentum on our on-cell touch products. And that's led to kind of an unusual tailwind in that sector. We have done very well with the Chinese handset makers. We think we are going to continue to do well. As I said, if the schedules hold, we expect to see about 10 more major phones flip to our on-cell touch solution. So that's been a nice tailwind. Coupled with that, I mean we have still got a meaningful presence in our display driver product area and we have seen the new launch of some lower end LCD phones. And that's been good for our business. So we generally feel good about mobile. And as we look out, I think that you are going to see continued shift towards touch and maybe away from DDIC. But we feel really good about our position in on-cell touch.
Rajvi Gill: And just last question for me on the gross margin. Fantastic job on really moving the margins up through divestitures and mix shift, 46% for June. As you look forward, what are some of the puts and takes on the margin line now that we have completed the divestiture, the drivers?
Dean Butler: Yes. Rajvi, I would say, we are sort of really focused on this one driving forward as you have seen since sort of Mike and I joined the company that's been a big emphasis. We are certainly not done. We continue to work this area. We are fairly aggressive on trying to pursue cost reductions where we can, but also really focusing on the high value products that are in the portfolio and making sure that those are enable to shine the light. So as we focus on margin mix and cost going forward, I think that should continue to improve.
Rajvi Gill: Thank you.
Operator: [Operator Instructions]. We will take our next question from Christopher Rolland with Susquehanna International Group.
David Haberle: Hi. It's David Haberle on behalf of Chris Rolland. Thanks for taking our questions. So maybe you can start by helping us frame these 10 new wins that you have for the on-cell flexible OLED touch. Are there any pricing or margin differences between these ramping display versus your old OLED touch wins? Or is this similar to what you have won in the past?
Michael Hurlston: Against as compared to our previous OLED touch wins? Is that the question?
David Haberle: Yes. The on-cell versus the previous OLED touch wins that you have. Are these the same? Or are there pricing differences and margin differences? Can you explain that?
Michael Hurlston: Yes. There are in line from both a margin and ASP perspective with prior touch wins.
David Haberle: Got it. And then on the IoT side, you seem very confident in the Smart Edge AI SoCs and the traction that you have made there. Are you currently seeing a lot of revenue from that product? Or should we be thinking about this as really a ramp over the next 12 months? And how big can this kind of product grow for you?
Michael Hurlston: Yes. Just to clarify, so these are a set of product that we announced back in January at CES. So it's a brand-new class of product for us. We are certainly seeing a lot of interest from the customer base and we think they are very promising. But to answer your question, no, today there is no revenue. These are new products.
David Haberle: Great. Thank you. And then I think my last question would probably be about the PC strength for next quarter. I mean it doesn't sound like you have ton of confidence this is going to hang around beyond the next quarter or so. But is there design win momentum behind that as well? Or is really just the work from home trend that's pushing it? And as that phase ends, people go back to work the PC market will kind of go back to normal for you?
Michael Hurlston: Yes. I mean I think our design win pipeline is probably as strong as it's been both in fingerprint and on our core touchpad business. So I think the comments are more to do with the recent surge in PC buying due to work from home. That's part of it. We don't think it's particularly sustainable. We have had a good run in the PC business. If you followed us over the last few quarters, there has been good strength. I think starting with a shift from consumer to commercial, commercial is where we have more exposure. And I think commercial picked up traction toward the end of last year and then this quarter I think it was more around work from home. But our unusually high revenue levels, I think from the PC business are what we are characterizing as difficult to sustain. Our share, our position in the market, I think, is very much sustainable.
David Haberle: Great. Thank you.
Operator: And it appears there are no further questions at this time. I would like to turn the conference back to Michael Hurlston for any additional or closing remarks.
Michael Hurlston: I would like to thank all of you for joining us today. We look forward to seeing you, at least virtually, at our upcoming investor conference during the quarter as well as our Analyst Day on June 9. Thank you.
Operator: That does conclude today's conference. We thank you for your participation. You may now disconnect. Good bye.